Operator: Thank you, and welcome to GameStop's Fourth Quarter Fiscal 2018 Earnings Conference Call. This conference call will include forward-looking statements, which are subject to various risks and uncertainties that could cause actual results to differ materially from expectations. Any such statements should be considered in conjunction with cautionary statements and safe harbor statement in the earnings release and risk factors discussed in reports filed with the SEC. GameStop assumes no obligation to update any of these forward-looking statements or information. A reconciliation and other information regarding non-GAAP financial measures discussed on the call can be found in the Company's earnings release issued earlier today as well as in the Investor section of the Company's website. I would now like to turn the call over to the Company's Executive Chairman, Mr. Dan DeMatteo. Please go ahead, sir.
Daniel DeMatteo: Thank you for joining us this afternoon. Joining me on the call today is our COO and CFO, Rob Lloyd. I'd like to start by taking a moment on behalf of myself and the Board to thank Shane Kim for everything he has done while serving as our Interim CEO since May of last year. While Shane is not joining us today, he is on a long-planned family trip. I want to emphasize how much we all appreciate what he has done for us over the past 10 months. He stepped into this role at a critical time and very effective leading the Company through a period of transition. Shane has been determined to capitalize on the many opportunities available to GameStop in order to position the organization for long-term success. As we recently announced, we are very excited to welcome George Sherman as our new CEO starting on April 15. Most recently, George served as CEO of Victra, the largest exclusive authorized retailer for Verizon wireless products and services. He brings extensive leadership experience and retail experience having worked with several other top companies and brands such as Best Buy and Target and brands that have undergone large successful transformations, and we are confident he is the right choice to lead GameStop into the future. George will have the opportunity to work closely with the rest of our leadership team to finalize the blueprint for GameStop setting the Company's long-term strategic direction. He will finalize, prioritize and implement key initiatives to drive sustainable growth and profitability, further taking advantage of our powerful brand. With our comprehensive review of strategic and financial alternatives behind us, we are well positioned to chart a clear path for GameStop that will leverage our leadership position in the video game industry and enable us to discover new and unique ways to meet our loyal customers' entertainment needs and attract new customers. As you know, in early 2018, the Board, in conjunction with outside advisors, embarked on a thorough strategic and financial alternatives review understanding our commitment to creating shareholder value. Before I turn the call over to Rob, I want to take a moment to summarize our process and the key outcomes. First, we explored the sale of the Company. While financing could not be achieved on terms that were commercially acceptable to a potential acquirer, we are encouraged by the interest that our market-leading position generated. Second, we were able to unlock the significant value in our Spring Mobile division by selling it at an attractive evaluation. This transaction cleared the path for our leadership team to focus our efforts on leveraging our global gaming and collectibles business and enabled us to shape our go-forward capital allocation strategy, while at the same time creating additional financial opportunities -- optionality rather -- for the future. Third, as it pertains to our go-forward capital allocation strategy, we continue to have robust discussions around how to balance returning capital to shareholders with the need to invest in the business for the long-term and our commitment to strengthen our financial position. We also want to maintain flexibility to deploy capital toward the value-enhancing initiatives currently under development. As you know, we announced a concrete plan to reduce our debt through the retirement of the $350 million in unsecured bonds due in 2019. I'm pleased to share that at April 4th that process will be completed. We will also announce the new $300 million share repurchase authorization, which will enable us to be opportunistic in buying back shares. Now, with this process behind us, we are excited to move forward with George leading the organization and are confident we are well positioned to achieve improved performance over the long-term. One effort already under way, our profit improvement initiative is identifying ways to drive efficiencies across all areas of our business from supply chain and merchandising to optimizing our organizational structure. I want to emphasize that this is not simply a cost cutting exercise, although we are looking at ways into the future to reduce costs. In order to drive meaningful operating profit improvement, we will work with a proven external consultant to evaluate all aspects of our business model. For example, we recognize the changes needed in our traditional physical video game retail business model and we are committed to addressing that. Importantly, with new leadership and a stronger balance sheet, we are enthusiastic about the future of GameStop. We want to thank our shareholders for their patience and support during this time of transition and express our gratitude to our associates around the world for their hard work, dedication and passion. Serving our customers continues to be our top priority, and our associates have remained committed to providing an exceptional store experience, which is reflected in our customer's loyalty and their view of GameStop as the leading destination to serve their entertainment needs across video games and collectibles. We look forward to updating you on the various strategic initiatives under consideration as we work our way through the year. We also look forward to George joining us on the first quarter earnings call, which will be late May early June for his early assessment of the business and his initial observations. I would like to turn the call now over to Rob for his comments on the fourth quarter and full year 2018 results. Following his report, we will be available for your questions.
Robert Lloyd: Thank you, Dan. Good afternoon, everyone. I'd like to take this time to walk you through our fourth quarter and full year 2018 results. I'll then share some insight into how we're approaching 2019 as we welcome George to GameStop and begin to refine the strategic direction for the Company. I'll also share additional insight around the various initiatives under development, including the profit improvement plan Dan introduced. As I review our results, please remember that our fiscal 2018 calendar included 52 weeks compared to 53 weeks in fiscal 2017. Additionally, with the sale of our Spring Mobile business completed in mid-January, the results of that business are included in discontinued operations. And as reported, the sales from our 43 Simply Mac stores are included in the other sales category. Moving on to our results for the quarter and fiscal 2018, we're pleased to have delivered fiscal 2018 results within our adjusted guidance range, which included fourth quarter and full-year sales growth across video game accessories, collectibles and digital. Excluding the impact of the 53rd week in fiscal 2017, new hardware sales for the year were comparable to last year. I'll go into more detail in a moment, but during the quarter, we incurred asset impairment charges and other items of $334.5 million or $351.6 million net of taxes. With roughly $413 million attributable to goodwill impairment, partially offset by the benefit of a $100.8 million gain on the sale of Spring Mobile. From a top-line perspective, total Company sales decreased 7.6% in the fourth quarter and 3.1% for the full year. The overall sales decline was primarily due to a decrease in the pre-owned video game sales, new software sales as key titles underperformed, and the impact of the 53rd week in fiscal 2017, which equated to roughly $130 million in sales. Excluding the extra week in fiscal 2017, sales decreased 3.8% in the fourth quarter and decreased 1.5% for the full year. Overall comp sales increased 1.4% for the quarter and declined 0.3% for the year and the US comp store sales increased 3.4% in the quarter and increased 1.8% for the full year, international comps decreased 2.9% for the quarter and 4.8% for the full-year. Comp sales in the US outperformed international comp sales primarily driven by stronger hardware and software sales. Our new video game hardware business decreased 9.8% for the quarter and decreased 1.3% for the year. Excluding the impact in the 53rd week, new hardware sales declined 7% for the quarter and were roughly flat for the year. For the quarter, we saw a strong increase in Nintendo Switch sales, which was more than offset by the decline in Xbox One X sales. That year-over-year decline was driven by the strong launch of the Xbox One X in Q4 of 2017. New software sales decreased 7.8% for the quarter and 5.1% for the year. Excluding the impact of the 53rd week, new software sales declined 4.4% for the quarter and 3.8% for the year. The decline in software sales for the quarter was driven by the timing of the launch of Call of Duty. As a reminder, Call of Duty launched in October this year, which helped drive an 11% increase in software sales in the third quarter. For the year, while there were several highly anticipated title releases, some of them underperformed our initial expectations. Our accessories business grew 18.8% in the quarter and 22% for the year as we continued to be the destination of choice for high-end ancillary video game products. These included headsets and controllers related to the ongoing popularity of battle royale genre games like Fortnite and now Apex Legends. Digital receipts grew 4.7% in the quarter and 16.5% for the year primarily driven by continued strength in digital currency for free to play games like Fortnite and buy downloadable content. Our pre-owned business declined 21.3% in the quarter and 13.2% for the year. Excluding the impact of the 53rd week, the pre-owned category declined 16.6% for the quarter and a 11.6% for the year. We continue to see declines in pre-owned software, reflecting the decline in sales of new physical games and the increasing demand for digitally offered products. Pre-owned hardware sales increased marginally for the full year due to the Nintendo Switch and PlayStation 4 platforms. We experienced significant growth for switch hardware and software throughout the year, although that category remains a small portion of pre-owned sales. Our collectibles business, which now exceeds $700 million in revenue, increased 3.1% in the quarter and 11.2% for the year. Excluding ThinkGeek.com, which is a small piece of the collectibles business and has been restructured due to profitability challenges, our growth would have been 12% for the quarter and 18.3% for the full year. Additionally, gross margin for the category increased 190 basis points quarter-over-quarter and 30 basis points for the year, primarily driven by improved product offerings and inventory and markdown management. Shifting gears to overall gross margins. Our gross margins declined 170 basis points to 24.4% in the quarter and 120 basis points to 27.9% for the full year. The lower gross margin rate reflects declines in pre-owned sales and margin rate. Additionally, lower margins in new video game hardware and software as a result of increased promotional activity to drive customers interest into stores during the holiday period and mix shift within each category contributed to the decline. Now, moving to SG&A, for the quarter, SG&A from continuing operations decreased to $527 million compared to $568 million in the fourth quarter of 2017, driven primarily by the 53rd week. For the year, SG&A from continuing operations was $1.89 billion, relatively flat compared to $1.90 billion for the prior year. From an operating earnings perspective, during the fourth quarter, we incurred asset impairment charges and other charges of $434.6 million, primarily related to a non-cash, non-operating impairment of goodwill. The impairment was triggered by the impact of the fourth quarter earnings revision on future cash flows and the decline in the share price. Following the conclusion of the sale, the impairment was partially offset by a gain recognized on the sale of Spring Mobile of $100.8 million. We reported an operating loss from continuing operations of $232.1 million in the quarter and $702 million for the full year, which included $434.6 million and $1.01 billion of asset impairment charges and other items respectively. This compares to reported operating earnings from continuing operations of $251.1 million for the fourth quarter and $439.2 million for the full year in fiscal 2017. On an adjusted basis, operating earnings from continuing operations were $202.5 million for the quarter and $331.3 million for the year. Our effective tax rate on adjusted pre-tax earnings was 22.9% for the full year. Moving to our bottom line, the fourth quarter reported loss was $1.84 per diluted share for the loss of $2.63 from continuing operations and earnings of $0.79 per diluted share from discontinued operations. This compared to a reported fourth quarter loss in fiscal 2017 of $1.04 per diluted share [inaudible] $1.15 per diluted share from continuing operations and a loss of $2.19 per diluted share from discontinued operations. Fourth quarter adjusted earnings per diluted share, which excludes the impact of asset impairment charges and other items were $1.60 compared to $2.02 in the prior year period. For fiscal 2018, the reported loss was $6.59 per diluted share with a loss of $7.79 from continuing operations and earnings of $1.19 per diluted share from discontinued operations. This compared to reported fiscal 2017 earnings of $0.34 per diluted share with earnings of $2.27 per diluted share from continuing operations and a loss of $1.93 per diluted share from discontinued operations, given various impairments and reporting both continuing and discontinued operations our results included a significant amount of noise. However, excluding that noise in our results, fiscal 2018 adjusted earnings per diluted share were $2.70, which was within our revised guidance range of $2.55 per share to $2.75 per share and compares to $3.34 per share for diluted for fiscal 2017. And our free cash flow for the year was $232.7 million. From a real estate perspective, our store fleet remains very healthy. During the year, we closed a net of 112 video game stores around the world, 2% of our overall video game store count. Our current average remaining lease life for our video game stores is approximately two years, which gives us tremendous flexibility to manage our footprint. Having said that, though 99% of our US stores were cash flow positive for the year as we're 94% of our international stores, we ended the year with 3,762 video game stores in the US and 1,922 internationally and with 41 domestic collectible stores and 62 international collectible stores. Moving to the balance sheet, we ended the quarter with $1.6 billion in cash, up approximately $770 million from last year as a result of the Spring Mobile divestiture and we ended the year with $1.3 billion in inventory, which was flat to last year. From a capital allocation perspective, the Board declared a quarterly cash dividend of $0.38 per share payable on March 29th to shareholders of record on March 15. The Board also approved a $300 million share buyback authorization. We recently announced our intention to reduce outstanding debt and anticipate that our $350 million unsecured senior notes, which are scheduled to mature in October 2019 will be retired as of April 4, 2019. This will reduce our interest expense by approximately $19 million per year. But the proceeds from the sale of Spring Models and the retirement of the $350 million of unsecured notes, we have significantly improved our balance sheet and leverage profile and created additional financial flexibility for future capital allocation initiatives aimed at enhancing shareholder returns, including several initiatives currently under development. As Shane previewed on our last call in November, our team has been working hard to identify opportunities to evolve and enhance the GameStop business model. We've been looking at all aspects of our business, including ways to reduce our costs and improve our operating profit, which I'll touch on in a moment. We've also reviewed strategies to improve our technology and data analytics capabilities, optimize our store experience and store fleet, evaluate strategic and economic partnerships with our publishing and platform partners and evaluate our relationships with customers and the services that we offer to them. The team has spent the last several months advancing various strategies that pushes into new areas of gaming or capitalizing on our expertise in small format retail. We shared a few details around one of those opportunities just last week as we announced a series of strategic partnerships that will deepen our relationship with our customers as we step further into the eSports space. Focused on live video game competitions, eSports is one of the fastest growing areas of the video game industry. While we participated in eSports before, this is a strategic and concentrated effort to broaden our presence in the space in a way that makes economic sense for us and allows us to test, react and implement strategies that can drive more brand awareness and positively affect our extensive retail platform. Our new partnerships include alliances with Infinite eSports & Entertainment, Envy Gaming and Complexity Gaming, which happens to be one of America's most elite and longest-standing eSports organizations. We are excited to be teaming up with Complexity Gaming, partially owned by the Dallas Cowboys, to establish the GameStop performance center. This is an 11,000-square foot facility located in Frisco, Texas at the home of the Dallas Cowboys and will have a public gaming area for fans and sponsors, as well as a training ground for gaming clinics with data analytics enhanced gaming equipment a video, studio in a merchandise wall with an anticipated opening in May, we believe the center will serve as a training ground for gaming clinics both live and online. And we believe it will be one of the premier public headquarters where gamers can unite and share their passions for eSports while celebrating their love for video games. By becoming more involved in the eSports space, we're positioning GameStop to be the youth sports league of eSports where we can provide unique experiences for the amateur gamer and help develop and prepare the next-generation of professional gamers. This is a very exciting initiative and we're looking forward to what these partnerships tell us in their first year about the opportunity for us to participate in the industry going forward. Shifting our outlook for fiscal 2019. We're optimistic about the direction GameStop is headed. We're excited about what George will bring to the Company and we're excited about the opportunity to expand on the strategic development under way to explore various growth initiatives. Now that the strategic and financial alternatives review is complete, we're turning our attention to our operations and cost structure where we believe there are additional efficiencies to uncover. We'll begin to implement a profit improvement initiative that we believe can drive additional operating profit of approximately $100 million compared to our baseline 2018 continuing operations, performance, we do not expect to realize significant savings in 2019, given we are in the early stages of execution, but we expect to capture the majority of the expected savings in fiscal 2020 and following years. This effort will take time and require hard work across the organization, but we're excited to better position GameStop for future growth. We expect to drive supply chain efficiencies, implement operational improvements, drive expense savings and optimize pricing and promotions. As Dan said, this is not simply a cost cutting exercise. We will look to leverage the scale of our operations and business to drive better cost and efficiencies. As we progress on this initiative throughout the year, we look forward to sharing more detailed information with you. As we shared in our earnings release, given the many variables around our profit improvement initiatives, the hiring of George as our new CEO and other strategic initiatives under consideration, we decided not to provide our typical annual earnings per share guidance at this time. As our initiatives take shape, we will look to update investors as appropriate. That said, we've decided to provide first quarter guidance given we're two-thirds through the fiscal quarter. We're also providing sales metrics based on what we see in the industry today and what we expect for the remainder of the year. Before I jump into some of our specific guidance, let me touch on a few things that will help provide context to 2019. With respect to new hardware, as we get closer to the end of the current console cycle for Xbox and PlayStation, we expect demand to decline as some customers choose to wait on the sidelines in anticipation of acquiring the next generation of innovative consoles. For new software, we have a tough comp given the strong title lineup in 2018 and our pre-owned business, we expect recent trend is to continue from 2018 given our outlook for both new hardware and software. We're working on strategies to improve this business. But until we see traction, we're planning for the current trends to persist. In our collectibles business, we expect to continue to build on the strong foundation we've established and see that business growing double-digits in 2019 as we continue to refine our product offerings and visual merchandising. Given those considerations, we now expect Q1 fiscal 2019 earnings of breakeven to a loss of $0.05 per share. Looking beyond Q1, we note that Q2 2018 adjusted income from continuing operations, again excluding Spring Mobile was a loss of $0.10 per diluted share. For that reason, we do not anticipate generating a profit in the first half of fiscal 2019. We anticipate the profit generated in fiscal 2019 will be heavily back half and Q4 weighted consistent with the historical seasonality of our business. Additionally, we're providing full year sales and tax guidance as follows; we expect total sales calculated using sales from continuing operations and comparable sales to both decline in the range of down 5% to down 10%, and we expect our adjusted non-GAAP income tax rate to be approximately 27%. Before I conclude, I'd like to note a disclosure that's included in our 10-K that we filed today. We reported material weaknesses in our internal controls as a result of deficiencies in our information technology general controls in the area of access over certain systems that support our financial reporting process. It's important to note that we have not identified any misstatements to our financial statements and there were no changes to previously released financial results. Remediation efforts are already well under way and our goal is for the remediation to be completed by the end of this fiscal year. So, to sum everything up, we're excited about the new initiatives to drive and develop our business. We're eager to drive more efficiencies and improve profitability. We're pleased with the work we've done to strengthen the balance sheet, improve our leverage profile and remain shareholder focused in our capital allocation. We are enthusiastic about George's arrival and the fresh perspectives he will bring to the team. And we look forward to continuing to evolve GameStop to stay integral for the large and growing gaming community. With that, I'll turn the call back over to Dan before we open the call to your questions.
Daniel DeMatteo: Thanks, Rob. I want to briefly address the agreement we reached recently with Hestia Capital and Permit Capital. As you may have seen, we announced that we will be adding two new independent directors to our board. This is a constructive and positive step forward for the Company and one that demonstrates our willingness and desire to engage with shareholders for the benefit of all. As of today, there is nothing further to comment regarding the topic. The main purpose of our call is to discuss our earnings results and operational initiatives under way, and please keep your questions focused on these topics. With that, I'll turn it over to the operator for Q&A.
Operator: [Operator Instructions] We take our first question from Colin Sebastian with Robert Baird.
Colin Sebastian: Thanks, guys. Good afternoon. As you look ahead, related to your comments that the trends in the pre-owned business are expected to continue in this direction. Are there any measures within your control to stabilize that business without sacrificing too much in the way of margin? And then, secondly, I wonder if you could comment on more specifically the impact you've seen from the Apex Legends launch in the corresponding promotional activity by Apex to hold onto their user base for Fortnite, if that's having any incremental effect on the traditional console market. Thank you.
Daniel DeMatteo: Yeah. Colin, I think, with respect to the pre-owned side of the business, I think the area that we're probably focusing on the most there is the value that brought to the pre-owned customer through our power up rewards program. I was looking hard at that program to make sure that we are providing the right kind of value to the customer and making the offerings that we have attractive to them. We continue to look at the trade side of the business as well as the sales side of the business in pre-owned to make sure that, again, we're delivering value there. In terms of Apex and Fortnite, again, those -- both of those games are continuing to drive sales and digital currency in our stores and continuing to have a positive impact on our accessories sales much like we saw last year.
Colin Sebastian: And maybe just one quick follow-up on the digital side and Sony's decision to see sales of point codes and retail stores, I wonder if you could size, how much impact that might have on your digital receipts and if you have any comment on motivations behind that decision? And I'll leave it there. Thanks.
Daniel DeMatteo: There is -- as I understand and in discussions with Sony about this, there is some effort associated with providing that what we call code to content to sell the full game download as content. Most of the sales of full game downloads whether at retail came in the form of the -- actually the currency. So, the move by Sony to go back to the currency model, we don't expect to have a material impact on our results because we'll continue to sell that currency for that customer that wants to buy it in GameStop stores whether they want to pay in cash in trades or unwilling or unable to put a credit card on the Internet.
Operator: Thank you. We will now take our next question from Steph Wissink with Jefferies.
Stephanie Wissink: Thanks. Good afternoon, everyone. [ph] And we plan to unpack a little bit more the eSports partnership. And I guess the curiosity question for us is really how do you monetize that hub across your network of both your stores of having this core performance center, which sounds like it's going to create a lot of excitement in content. How do you leverage that across your network of stores? How do you create the micro experiences at the store level?
Robert Lloyd: In the short-term, we see that the opportunity for us is really to provide the types of content environment to the customer that drives traffic to our stores. Coming into our stores for online clinics and how to get better at playing Fortnite or Apex or whatever it is that the customer wants play would be a way for us to drive traffic and then ultimately monetize that traffic. As we continue to look at the experience in our stores, we have the opportunity to evaluate where we can provide the kind of play environment that the customer who might want to get and essentially make our stores more of a place where they want to hang out. That will lead, we believe, to increase monetization.
Stephanie Wissink: That's great. And then, just one follow-up on the $100 million cost for the remainder [inaudible] the savings at a net basis until 2020. But can you help us just -- see, within the P&L, where are the factors of savings likely to be concentrated? This is something more centralized headquarters or there are some savings at the store level that you expect to achieve as well?
Robert Lloyd: I think most of it's going to be driven from the headquarters space, not necessarily just in terms of cost cuts but that's where things like indirect spend, our shipping program, those kinds of things are sort of centralized. And as a result of the efforts that we'll put into the initiative, we hope to be able to have a large impact on that indirect spend, on shipping cost, supply cost, things of that nature. Ultimately that finds its way into the stores as the stores can there, there's less freight attributable to stores or less supply costs, et cetera. Also, there will be looking hard at tasking that takes place inside our stores to make sure that we are as efficient as we can possibly be and making sure that the time that we give our stores to operate is dedicated to helping customers.
Operator: Thank you. We'll move on to a next question from Seth Sigman with Credit Suisse.
Seth Sigman: Hey, guys. Thanks for taking the question. Rob, given the sales outlook you provided and the evolving strategic direction under George's leadership, as we think about that $100 million profit improvement program, how do we think about how much flows to the bottom line versus gets reinvested?
Robert Lloyd: The goal is to ultimately get to a run rate where we've gotten $100 million of increased profit as a result of these efforts so it's not an exercise where we generate $100 million of increased profit and then invest a chunk of that into the bottom line. Net-net, we're expecting $100 million.
Seth Sigman: Okay, understood. And then, just a follow-up question on the pre-owned business, can you guys just talk a little bit more about the state of inventory today and the markdown risk just given the sales trends that we're seeing there?
Robert Lloyd: The inventory is relatively comparable to where it was last year and given the trends that we're seeing. So, I think our hardware inventory is in pretty good shape because we've seen increases in hardware and that continues to be, but the customer is increasingly interested in on the software side, it's a little lighter than it was last year, reflecting the trades and ultimately the sales. I don't think there's markdown risk there for a couple of reasons. One, we continue to adjust to the buy-sell trade pricing model as we see the demand coming in as we see the inventory position. And then, secondly, it is still a healthy margin business for us. So there's plenty of room inside of that for us to move the product that we need to move.
Seth Sigman: I guess we noticed that there was an increase in the inventory reserve, did that have anything to do with the used business or was it related to something else?
Robert Lloyd: That was actually probably more related to the collectibles business.
Seth Sigman: Okay. Anything specific there to share?
Robert Lloyd: I mentioned that ThinkGeek.com has not performed in the way that we had hoped that it would, and much of that reserve increase was targeted at ThinkGeek.com.
Operator: [Operator Instructions] We'll hear now from Curtis Nagle with Bank of America Merrill Lynch.
Curtis Nagle: Great, Thanks very much for taking the question. So, I guess, aside from perhaps valuation, what are the criteria for buying back shares? And I guess, would you wait for some evidence that the EBITDA is starting to stabilize before you enter the market?
Robert Lloyd: I think there are variety of things that the Board will consider within our capital allocation structure as we move forward. And what we can do with -- what we determine to be excess capital. As Dan mentioned, and as I mentioned, there is a number of initiatives under way that we're anxious to get George in to review, to refine and to start to implement. I think what we want to see is how those initiatives are translating into the P&L and how that is impacting our stock price.
Curtis Nagle: Okay. And then, just a quick balance sheet question. It looks like AP was up a little bit year-over-year. I guess conversely accrued liabilities were down a decent bit just I guess what was driving -- [ph] which piece of it is related in anyway?
Daniel DeMatteo: That's all tied into accounts payable to vendors that exist at the end of the year. There is a component of the accounts payable that lines up in accrued liabilities for checks that were written and having cleared in that kind of stuff. So, a lot of that has to do with timing although we have had general efforts to make sure that our inventory is better levered.
Curtis Nagle: Okay. And if I can switch just one more in, I guess, how should we think about the pace of growth for collectibles, and I guess the -- your efforts to balance margin a little bit more just focus a little bit on margin, this is a business that maybe grows low single digits, do you think you can get it above that in terms of top line?
Daniel DeMatteo: I think I said in my comments that we're continuing to look for pretty good growth in that category. We see that continuing to grow double-digits. And I think the margin profile that we're looking for there is as we improve margins slightly in 2018. We would hope to do that again in 2019. We're excited about some of the testing that we're doing inside our stores within the collectible space in order to make sure that we're merchandising it in a way that is easier for the customer to shop that's curating, the stories we're trying to tell with the product that ties into video games or other key pop culture themes.
Operator: Thank you. We'll now take our next question from Ben Schachter with Macquarie.
Ben Schachter: Hey, guys. Can you talk a little bit about what George’s strengths and background are that they're making the right CEO for going forward? Is there a particular strategy that he is well suited to drive forward? And I have couple follow-ups. Thanks.
Daniel DeMatteo: Well, this is Dan. Obviously we interviewed a lot of people, and George really stood out. I'll give you a little bit of his background. He was a military officer in the Air Force for seven years. After he got out of the Air Force, he went into a training program at Target, he wound up running the entire Midwest, the store operations for Target, and I'm not sure exactly where we moved from there. But he has experience in merchandising with Best Buy, he has experience with the service area in Best Buy. I think this the Geek Squad and the B2B stuff. He was the key guy who developed that. He was at Advanced Auto and he was the COO at Advance Auto. So, obviously he would have had merchandising, operations, marketing, et cetera, reporting directly to him. And so -- and I think he has a very, very varied experience. And it's all been in retail except for the seven years in the military. So, all retail in many aspects of retail, including Smartbox with Advanced Auto.
Ben Schachter: And in terms of forward options, when you're talking with him, were there certain things that were kind of taken off the table already or is it completely an open fleet for him?
Daniel DeMatteo: Well, I think by selling Spring Mobile, you can see that the diversification strategy, we refocused on that, and we are refocusing all of our energy on video gaming, whether it's eSports, new stores, a new look and feel in the store, et cetera. So, I think we've come back to our roots focused on the video gaming, and we're not spending the energy that we once did, I'm trying to see where else we could diversify.
Ben Schachter: Thank you. And then, last one, Rob, you mentioned that 99% of U.S. stores, 94% of international cash flow positive. So, obviously that's a relatively small number per store. Can you talk about sort of what the target is per store? How wide of a range it is? Do some stores do really well for a particular reason and other stores are underperforming, strip versus mall? Anything you're sort of seeing there in terms of everything being cashflow positive, but obviously some more challenged than others.
Robert Lloyd: So, as you know, Ben, over the past few years, we've had a strategy that says, if we have stores that make, say, less than $50,000 in profit, we're going to take a hard look at whether or not there's an opportunity to close those stores, transfer sales and therefore profits to other nearby stores. And so, there is a wide range that exist within the store base and we continue to focus on those lower profit generating stores. It doesn't matter necessarily whether they're strips or malls, obviously strips tend to have smaller rent package than the malls do but the profitability can be very positive in both. And I can't really draw conclusion for you from strips versus malls or what have you. But we continue to focus on it, and I think if you look at the 112 stores that we closed last year, that is in excess of the numbers that we had that were cash flow negative. And so, we continue to operate on that store closing and sales transfer program we've had for the last eight years or so.
Operator: Thank you. We will hear now from Cristina Fernandez with Telsey Advisory Group.
Joe Feldman: Hi guys. It's Joe Feldman for Christina. Wanted to check in also on a bit of the cash flow but at a higher level -- at the Company level and how you guys are thinking about that or how we should think about that for 2019. Any thoughts about the dividend, I mean is there any risk to the dividend with the cash flow situation where us in good shape right now.
Daniel DeMatteo: The balance sheet looks pretty strong in terms of cash, given the divestiture of the AT&T business. We're not giving guidance on cash flow for 2019. Again that's related to the initiatives and various things that George will be neck deep and frankly when it gets here. So, we're holding off on that. I would say that the dividend is part of the capital allocation strategy that the board will continue to evaluate quarterly as we move forward.
Joe Feldman: Okay, thank you. And then, with regard to the stores that comments you just made, there are a lot of good stores still and is part of the new strategy to make the stores more experiential like, I don't know, make create more buzz and more fun to keep kids in the store to get them to go on linger, I'm not even sure what that is. I guess, with the eSports thing, maybe they could -- that maybe testing centers if you could try out or something. But things like that, is that what we're talking about for the stores to have more fun in there.
Daniel DeMatteo: Yeah, if you think back to the comments that we were making in the Spring and into June of last year we were talking about the need, we had to get a better understanding of our customer what the customer wants from their GameStop shopping experience and how we can create a more experiential environment inside our stores. We have done a tremendous amount of work across 2018 to -- with a variety of customer-focused studies, surveys, et cetera, et cetera, to get an understanding of that customer behavior and how we can impact it. And as a result of that, the initiatives that we talked about includes things that would make our stores more experiential and provide the kind of retail environment that our customers want to come and hang out in, that might be eSports, it might be certain other things that we try. Those are among the things that we'll be discussing in the next few weeks with George after he arrives and hopefully shedding more light on for you in the future.
Joe Feldman: Thanks. And if I could just ask one more. With Apple’s new venture, I guess any thoughts on how that might play into the business or maybe even the way you guys participate in that and partner with them in some way or sell some of the products, have you guys given thought to that?
Daniel DeMatteo: There are a lot of changing dynamics going on with what the various technology companies are announcing with respect to the video game business and new entrants into the space and things that they established partners are looking at. We continue to have discussions with the console makers and these other technology companies about ways that we as a specialty retail leader has the best opportunity that they have to gain customer acquisition can play in those kinds of new business arrangements and new technologies.
Operator: Thank you. And that does conclude today's question-and-answer session. I would now like to turn the call back over to Mr. Robert for closing remarks.
Robert Lloyd: Okay. We thank you all for your continued interest in GameStop. We thank you for your continued support. Again, we're looking forward to what's coming in 2019, including with George's arrival, and we hope to be reporting some interesting things to you in the future.
Operator: And that concludes today's question and -- that concludes today's conference. Thank you for your participation.